Operator: Good day, and thank you for standing by. Welcome to the FTC Solar, Inc. Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. To ask a question during the session, you will need to press star 11 on your telephone. You will then hear automated messages by hearing a hand is raised. To withdraw your question, please press star 1 again. Please be advised that today's conference is being recorded. I would like to hand the conference over to your first speaker today, Bill Michalek, VP of Investor Relations. Please go ahead.
Bill Michalek: Thank you, and welcome, everyone, to FTC Solar, Inc.'s Fourth Quarter 2025 Earnings Conference Call. Before today's call, you may have reviewed our earnings release and supplemental financial information which were posted earlier today. If you have not yet reviewed these documents, they are available on the Investor Relations section of our website at ftcsolar.com. I am joined today by Yann Brandt, the company's President and Chief Executive Officer, Cathy Behnen, the company's Chief Financial Officer, and Patrick Cook, the company's Head of Capital Markets and BD. Before we begin, I remind everyone that today's discussion contains forward-looking statements based on our assumptions and beliefs in the current environment and speaks only as of the current date. As such, these forward-looking statements include risks and uncertainties and actual results and events could differ materially from our current expectations. Please refer to our press release and other SEC filings for more information on the specific risk factors. We assume no obligation to update such information except as required by law. As you would expect, we will discuss both GAAP and non-GAAP financial measures today. Please note that the earnings release issued this morning includes a full reconciliation of each non-GAAP financial measure to the nearest applicable GAAP measure. With that, I will turn the call over to Yann.
Yann Brandt: Thanks, Bill, and good morning, everyone. I am pleased to share that we have achieved another quarter of strong growth in Q4 and continue to position the company for long-term success. Our financial results came in at the high end of our targets, as we work to strengthen our product, operational performance, and overall positioning, including enhancements to one of the most innovative 1P tracker platforms in solar. Every day, we are seeing excellent commercial momentum as we build a foundation for future growth. In terms of financial results, we achieved several key milestones in the fourth quarter. Our results came in at the high end of our target ranges on all metrics. Revenue grew by 26% sequentially, which follows the 30% sequential growth posted in the third quarter, and one of the best in company history, and came in at the highest quarterly level since 2023. Gross margin for the quarter was our best as a public company, and we posted our best adjusted EBITDA performance in six years, and our best since going public, coming in just shy of breakeven for the quarter, missing our 2025 target of breaking even by the narrowest of margins, not bad considering the insane year that solar went through with tariffs and legislative disruption. Our fourth quarter results were fitting into an incredible year of progress for FTC Solar, Inc. A year I am proud to call my first at the company. For the year, we grew revenue by more than 110% versus the prior year, significantly improved margins, added multiple gigawatts of MSAs and secured purchase orders from Tier 1 customers, added new cash to our balance sheet with strategic financing, saw new incredible talent join our team, especially in sales, and have positioned our product platform as the most innovative tracker portfolio in the market, by far the easiest and fastest to install. Turning to customers. Our commercial momentum is starting to accelerate at every level, from approved vendor list additions to project bidding, bookings, and contract conversion. It takes time and will not impact revenue tomorrow, but our progress here is clear, accelerating, and to me means everything. It is the foundation of our future growth. It is what is making this company successful and has me excited about where FTC Solar, Inc. is going. So first, we are getting on approved vendor lists. Just in Q4 alone, we were added to the AVLs of four of the top 10 EPCs, bringing the total to eight of the top 10. We are getting increased visibility and are bidding with more customers and larger project sizes, actively providing proposals on the pipelines of these new EPCs, and of those of many new customers. FTC Solar, Inc. is winning projects and seeing previously announced MSAs convert into bookings, including with the top-tier customer base. In the fourth quarter, we received bookings from two leading EPCs, and we expect some MSAs to start expanding in volume from the original capacity in the near future. We have had improving net bookings for the past three quarters and had a significant increase in the fourth quarter. With a positive book-to-bill, or positive net bookings in the period, we are starting to convert our MSAs into firm orders and book new projects. Since our last earnings call, we added $61 million to our contracted backlog, or roughly a $29 million addition net of Q4 revenue. We expect this progress to continue and to accelerate. In addition to the positive net bookings, we have had recent wins in the form of multiyear MSAs that are not yet included in that backlog, with more expected to be announced in the near future. One notable addition we are announcing today is a new 1 gigawatt supply agreement with a leading developer and operator of wind and solar farms. This is a three-year agreement for 1 gigawatt of our 1P and 2P trackers at sites across the U.S. This agreement also includes our SunPath software to achieve additional energy yield at these sites. Another example we announced just last week is a multiyear MSA with Lubanzi in South Africa. That was for about 840 megawatts of trackers delivered across the country and is a great win on the international front. The first project under that agreement is expected to begin midyear. So those are MSA wins on top of the net backlog additions we announced which brings us to over 9 gigawatts of MSAs added in just one year. The leading indicators on the customer front are what will drive this business, and they are starting to look very good. They are improving, and we have a lot of momentum. From MSAs, AVLs, and strong bidding activity, these are clear signals that show us that FTC Solar, Inc. is a critical part of the tracker diversification trend that we are seeing every day. While we have very admirable competitors, a market without choice is no market at all. And every meeting I am in, I hear about the need for diversification. Having met with most of the top 10 EPCs, I can tell you they are happy FTC Solar, Inc. to be in the room, innovative, bankable, and competitive. Our team is a known counterparty with decades of relationships, and our product continues to show very well. FTC Solar, Inc. is now a valued 1P tracker provider, and we see a significant opportunity to gain share. Our goal remains to be a top three tracker provider before long. And we hope to have much more to share on the new MSAs and new contracts backlog in the weeks ahead as we work toward that. On the product front, independent row architecture is the gold standard for solar. It has the highest production for asset owners, and has the best long-term effectiveness for solar farms. It is also ideally suited for automation in construction and O&M activity. I have shared that I believe we have what is unquestionably the fastest and easiest to install tracker in the marketplace, independent row or otherwise, a product that is superior on a total installed cost basis, one that can be built from piles to mounted modules with an unmatched efficiency of 0.053 labor hours per module. Driven by our innovative Python clips, slide-and-glide rails, and open trunnion design and power cinch clips. You can see from the customer comments as we have announced some of the recent wins, that customers are already recognizing the benefits of this efficiency. And our team is focused on achieving another 20% in labor. This is crucial as labor shortages are increasingly a pinch point for the industry, and expected to continue, and as labor continues to increase as a proportion of the total project cost. We have engaged with Tier 1 EPCs and developers. Due to our constructability savings, they tend to look at the total install cost of our tracker rather than just price. As more in the industry recognize our total cost of installation advantage, it should help further insulate us from pricing concerns or competition on projects. 2025 was a strong step forward in positioning for what is ahead. As we doubled sales while expanding the balance sheet, built out the product set, expanded our pipeline, and continued building a foundation of new project wins and MSAs. We have definitely been on a steady upward trajectory during my time with FTC Solar, Inc. Quarterly revenue levels for Q4 were three times higher than when I had started, gross margin went from double-digit negative to double-digit positive, and adjusted EBITDA loss improved to where we nearly reached some breakeven milestone. Our enthusiasm does not stem from what happened in the past alone. It comes from what is ahead. While the solar industry endured a challenging 2025 from a regulatory uncertainty standpoint that will have some carryover effects into 2026, FTC Solar, Inc.'s positioning is significantly improved, and we are closer to achieving broad adoption from Tier 1 players than we have ever been. Our financial progression will not always be linear, but we have made great progress so far and are building a solid base of orders to enable strong long-term growth. We have done a great deal to prepare the company and lay the groundwork for the strong growth ahead and aiming for a top market share position, and I firmly believe that is possible. I remain incredibly optimistic about the prospects of the business and I look forward to providing you with continued updates on our progress in the months ahead. With that, I will turn it over to Cathy.
Cathy Behnen: Thanks, Yann, and good morning, everyone. I will provide some additional color on our fourth quarter and full-year performance and our outlook. Beginning with a discussion of the fourth quarter, revenue came in at $32.9 million, which was above the midpoint of our guidance range of $30 million to $35 million. The quarterly revenue level represents an increase of 26% compared to the prior quarter and an increase of 149% compared to the year-earlier quarter. GAAP gross profit was $6.9 million, or 21% of revenue, compared to gross profit of $1.6 million, or 6.1% of revenue, in the prior quarter. Non-GAAP gross profit was $7.7 million, or 23.4% of revenue, marking one of the highest levels in company history and our best as a public company. The strong gross margin performance was driven primarily by a favorable product mix in the quarter. This quarter's result compares to non-GAAP gross profit of $2.0 million in the prior quarter and a $3.4 million gross loss in the year-ago quarter. GAAP operating expenses were $10.6 million. On a non-GAAP basis, operating expenses were $8.2 million. This compares to non-GAAP operating expenses of $7.4 million in the year-ago quarter and $8.0 million in the prior quarter. Moving to GAAP net loss, as a reminder, the warrants which were issued as part of last year's capital raise are subject to liability rather than equity accounting, and therefore require us to reflect changes in the warrant fair value each quarter in our GAAP financials. If our share price goes up during the quarter, as it did in Q4, it will show as a noncash loss, and conversely, a share price decline would show as a gain. The share price appreciation we saw in the fourth quarter drove an increase in the fair value of the warrant liability of about $26 million. This is a noncash accounting adjustment that does not reflect the underlying business performance or cash flow, and will be excluded for purposes of adjusted EBITDA, but does impact our GAAP financials. So including that adjustment, GAAP net loss was $33.7 million, or $2.23 per diluted share, compared to a loss of $23.9 million, or $1.61 per diluted share, in the prior quarter and a net loss of $12.2 million, or $0.96 per diluted share post-split in the year-ago quarter. On an adjusted EBITDA basis, we almost achieved breakeven, posting a loss of just $300,000, which is our strongest result since becoming a public company. That excludes the net of approximately $33.5 million for the change in fair value of the warrant liability, certain transition costs, as well as other noncash items. This represents our best adjusted EBITDA result in six years and a substantial improvement from adjusted EBITDA losses of $4.0 million in the prior quarter and $9.8 million in the year-ago quarter. Overall, another solid quarter of financial progress delivering some of the best results we reported in years. The contracted portion of our backlog now stands at $491 million, with approximately $60 million added since November 12. To touch briefly on annual results, for the full year 2025, revenue was $99.7 million, representing a 111% increase over 2024. The increase was primarily attributable to higher product and logistics volume, partially offset by a decline in ASP. GAAP gross profit was $1.1 million, or 1.1% of revenue, compared to a gross loss of $12.6 million, or negative 26.6% of revenue, in the prior year. On a non-GAAP basis, gross profit was $3.2 million, or 3.2% of revenue, compared to a gross loss of $10.9 million, or negative 23% of revenue, in the prior year. The higher volumes and increased absorption were the primary drivers of the significant year-over-year improvement, which was partially offset by higher tariff costs. GAAP operating expenses were $34.5 million. On a non-GAAP basis, OpEx was $29.4 million, which compares to $35.5 million in the prior year. So we were able to take OpEx costs down 11% on revenue that was doubled year over year, demonstrating our continued focus on efficient growth. GAAP net loss was $76.9 million compared to $48.0 million in 2024. Adjusted EBITDA loss, which excludes the change in fair value of warrants, stock-based compensation expense, and other noncash items was $24.3 million compared to a loss of $43.1 million in 2024. With that, let us turn our focus to the outlook. Our targets for the first quarter call for the following: revenue between $20 million and $25 million; non-GAAP gross profit between negative $500,000 and positive $2.3 million, or between negative 2.5%–9.2% of revenue; non-GAAP operating expenses between $8.2 million and $8.9 million; and finally, adjusted EBITDA loss between $9.6 million and $5.9 million. For the full year 2026, we expect to continue to grow faster than the industry as our recovery progresses. Due to the timing of orders, which followed some regulatory uncertainty in 2025, as well as the ramp-up of our MSA project, we expect the results will be weighted to the back half of the year. With that, we conclude our prepared remarks, and we will turn it over to the operator for any questions. Operator?
Operator: Thank you. At this time, we will conduct a question-and-answer session. As a reminder, to enter a question, you need to press 11 on your telephone and wait for your name to be announced. To withdraw your question, please press 11 again. First question comes from the line of Philip Shen of Roth Capital Partners. Your line is now open. Philip Shen, your line is now open. Can you unmute?
Philip Shen: Hey, all. Sorry about that. Congrats on strong results, and good news that you have in the quarter. I wanted to check in with you on the 2026 outlook. So you talked about significant growth. I am guessing you may not want to quantify, but was wondering you could qualify or provide some color on, you know, what kind of growth we could see in '26 year over year.
Yann Brandt: Yes. No, thanks, Phil. Appreciate the question. Yes, look, we are really excited about where FTC Solar, Inc. is sitting from a competitive landscape standpoint vis-à-vis our peers. The overall market dynamic, obviously, you know, continuing to sign MSAs with large volumes both in the U.S. and abroad. You know, we are seeing good growth, you know, obviously, some seasonality around the timing of the early part of the year. Really strong ending to 2025, and results '25 compared to '24. But, you know, it really comes down to where we are from an execution standpoint that gives us the enthusiasm and optimism, really adding strong talent to the sales pool. We, you know, we and me in particular, who has been on the road full-time talking to the EPCs and developers and IPPs around the world. There is a strong need for diversification. There is a need for constructability features that puts FTC Solar, Inc. into a product mix with each of the companies. So I think a really important quantifiable trend and I will qualify it, is around approved vendor lists, particularly with the EPCs that make a large number of the procurement decisions of who they are going to use on their pools of projects. You know, now being on eight of the top 10 EPC AVLs, is a strong indicator, and it gives our sales team the ability to go and now close those projects. But that is, you know, that is what comes along with the process of developing a product portfolio is you develop it on a technical basis, then you have to go out and sell it and get into a position to be approved. And, obviously, our improved bankability throughout the year and the growth has been a good indicator for those EPCs to then add us to the approved vendor list and put us into the bidding cycles.
Philip Shen: Great. Thanks, Sean. Hey. You guys also talked about the backlog does not include almost two big ones you guys have publicly announced since Q1. And then think you alluded to more MSA signings to come. And so you have a couple here that seem meaningful. Historically, we have seen some of your MSAs not pan out. So I was wondering if you might be able to give some color on, you know, the timing of these MSAs. Like, do we see meaningful revenue in '26 and '27 and then the ones that you might sign, maybe a little bit of insight into what they might look like. Thanks.
Yann Brandt: And you bring up a good point, Bill, is when we talk about backlog, we talk about ink on paper, delivery schedules, etcetera. Right? So it is, you know, compared to our peers, a little bit more, you know, farther in the cycle. You know, it does not include verbals, for example. And the MSAs, you know, I know where you are coming from, and it is a great start. What I always tell to the team, but we are starting to see those MSAs flow through. And we expect to be able to announce some expansions of those MSAs in the near future as we have been working through them. And that is an indication of both strong partnerships, you know, us being able to convert through the project list that our partners have had. You know, some are developers, some are EPCs. And, you know, while there is obviously some air pocket in '26 and '25, that, you know, kind of caused projects to have to wait for capital to come in or some permits, you know, things that all obviously, everyone in the solar industry has been working through. You know, we have been able to find the right projects, get some moving forward. But we do anticipate an acceleration of the utilization of the MSA volume to accelerate here in 2026.
Philip Shen: Then shifting to, you were talking about some of the air pockets of activity and challenges from last year. What are you seeing now? Do you think things have stabilized? Or, you know, we have been talking about some challenges sometimes on the front end with tax equity and FIOC uncertainty. And so I was wondering if you could provide some perspective on if there are some issues now on the front end of the chain. And then if you can address your liquidity situation a little bit more and help us understand, you know, from a you are getting to breakeven. You were almost breakeven last year for the full year. But what do you see ahead? Thanks.
Yann Brandt: Yes. I, one of the important aspects is for FTC Solar, Inc. in particular is that we are looking at a lot more. Right? So on an FTC Solar, Inc.-specific basis, having more projects in the pool of possible additions for, you know, both bookings and revenue is that we are in more deals. And so that gives us more at-bats in terms of, you know, finding the projects that get to the start-of-construction phase. Right? And that is, I think, an important variable in the overall equation. Every project has a path to get to start of construction. There are positives. Obviously, the offtake environment for projects is as good as I have seen since I have gotten into solar in 2006. While, you know, some projects obviously have to contend with federal permit issues or wetlands, you know, there are certain challenges that come into it. But overall, I would say the trend is optimistic around more projects getting to the start of construction for the overall market, but specifically for us as I look at our both pipeline of projects in MSAs, for example, and the projects that we are bidding, it seems like there is an overall trend that it is trending in the right direction. And, you know, we are obviously trying to put ourselves into a position where we are in the best projects that are, that have the ability to move forward. And I think that is where the alignment is with the goals that both the developers and the EPCs have. We want to be building solar for the American consumers and companies that need the electricity more so than ever. And being part of that product mix where projects are allocated for diversification's sake amongst, you know, two or three tracker vendors, you know, FTC Solar, Inc. being a part of those top selected trackers more than I would say ever, and I think our financial results speak to that since going public. You know, it bodes well for where I think we are going. From a liquidity standpoint, you know, I am happy with where we ended up, you know, at the end of the year. Obviously, we had really great growth from '24 to '25. You know, just the back half alone, up 44% when our peers were flat to down. You know, we look at our Q4 results and by the narrowest of margins nearly hit the breakeven for profitability, which would have been phenomenal, but yet, still the best results that FTC Solar, Inc. has ever had. So I am, you know, I am happy for where we have been able to guide the company, you know, this kind of growth, while lowering overall operating expenses, is a good indicator of the efficiencies that we can gain. And I think there is more to be had, and we are certainly running the company as such. But, ultimately, it comes down to, you know, putting a, you know, great product into the market, being accepted by getting onto the AVLs, and then putting just a phenomenal sales team in the field that has the relationships. You know, I think when I think about the meetings that we are having and the feedback that we are getting, our sales team is going to be in a really good spot to take advantage of this consolidating market landscape in trackers and put ourselves in this top three position that I believe is in our future.
Philip Shen: Great. Thanks, Yann. I will pass it on.
Yann Brandt: Of course. Thanks, Phil.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Sameer S. Joshi of H.C. Wainwright. Your line is now open.
Sameer S. Joshi: Hey, good morning, and thanks for taking my questions. So you have a considerable pipeline of $491,000,000 or other backlog. Do we know who the end customers are? Like, what industries or commercial or any other type of users are there? And then if more specifically, of the $61 million new orders received this quarter, any insight into the end customers would be great.
Yann Brandt: Yeah. No. Great, great question. We do. You know, we have, obviously, the counterparty that is buying from us, you know, oftentimes, the EPC, but there are times including our new bookings in Q4 where we have more global relationships with the asset owners. You know, asset owners view the longevity of the product as well as, you know, the long-term benefit on the total installed cost basis that FTC Solar, Inc. has an advantage of, you know, as something that they want to invest in by going into multiple projects. So, you know, for the most part, our counterparties end up being the EPCs. You know, if you are talking about the counterparties on the offtake, certainly, big data center players are fighting over the generation. We are starting to see a pipeline of the behind-the-meter concept, you know, the bring-your-own-generation concepts that we see in the data center headlines. That is certainly starting to happen. You know, in the past quarter, we saw a project that had some interconnection cost issues that maybe would not pencil. That project is now under consideration for bring-your-own-generation data center play. Right? So, you know, that obviously will open up a new field of opportunities for solar at large, that FTC Solar, Inc. will be able to compete in.
Sameer S. Joshi: Thanks for that color, Yann. And this, I think Phil asked you about this, but I will just dig a little bit deeper. The two MSAs just announced, the 1 gigawatt and the 840 megawatt. And they are three years. When should we start seeing, like, actual orders from this? And, also, are there any kind of regional exclusivity or any kind of exclusivity with these customers?
Yann Brandt: Yeah. So let me speak about the Lubanzi one first, the one we announced last week. We, you know, that we do expect to start. We have projects that are slated for midyear. So, you know, the MSAs, the way they work is the MSAs and, you know, some MSAs are announced, some are not, where they then, you know, what we do is we oftentimes negotiate a standard template for purchase order. It makes contracting a lot easier. And we start doing co-designs on those sites. So, you know, the Lubanzi one, certainly, we have multiple projects that will start hitting in 2026. The new one we named here in this, in my announcements this morning, you know, that is a pretty large pipeline here in the U.S. We are excited about where that is going to go. We are deep in design on several of the sites. But they have to go through permitting. It is likely that there is, or it is possible that there are projects in the back half of the year that will start to book. But it also depends on, you know, it could very well accelerate if offtakers come to the table. You know, those projects in particular are more in a regulated market. So, you know, that is where the regulated utilities are under extreme pressure by offtakers to increase generation and make generation accessible to them. So we actually have seen some strong movement in the negotiations for the offtakes of those agreements that will then flow through and make permitting easier. And, you know, some do have projects listed. From an exclusivity standpoint, some are more volumetric in approach, but there is a win-win for both, i.e., a partnership where FTC Solar, Inc. is investing in resources to provide design services, things of that nature, and, obviously, priority access to some both design as well as capacity, and so it is something that you are seeing, you know, since I have gotten here. More and more customers wanting to enter into them, and that is what has gotten us to the 9 gigawatts.
Sameer S. Joshi: Understood. Thanks for that color. And will you remind us of what the revenue model is for the SunPath software? Like, are there recurring revenues, or what kind of structure it is?
Yann Brandt: Yeah. SunPath is actually, you know, a great tool, and it is an interesting one, you know, just looking at it from my seat. And, you know, FTC Solar, Inc. has been around a long time, so it has been under development and refinement for quite a long period of time. So it is, you know, while our 1P tracker is a relatively new addition to our overall portfolio, you know, our ability to bring 3D backtracking to the market is, you know, as good as anyone in the market. Right? So, and I think people see that. And, you know, revenue models differ by geography. There is a, you know, some customers prefer to pay for it upfront for a period of time. Some people view it as a recurring revenue model. You know? And it really depends on the site itself. It is a, I will say, the 3D backtracking software is particularly advantaged, you know, for FTC Solar, Inc. and for, you know, particularly for independent row architecture. When sites have undulating uneven terrain, the need for 3D backtracking for energy-yield increases is really important. And independent architecture where motors can run each row independently of each other, especially over the course of the year, is where you are going to see the best energy-yield advantages, which is why the market is consolidating around this independent architecture in my opinion.
Sameer S. Joshi: And it includes your value proposition. Good to know. Just a question. Maybe this is for Cathy. The service margins were lower despite sequential growth in service revenue. Is this some GAAP reason, or are there more structural reasons?
Cathy Behnen: No. Thanks for the question. So I think what you are kind of seeing flow through there is, you know, our service revenue includes all of our logistics services that we provide. And so as you see the increasing tariffs that came through, those are pass-through costs. And so that kind of squeezes a little bit of that margin.
Sameer S. Joshi: Got it. Understood. Thanks for taking my questions, and good luck for 2026.
Operator: Thank you. Thank you. One moment for our next question. Our next question comes from the line of John Wyndham of UBS. Your line is now open.
John Wyndham: Thanks for taking the questions. I wanted to follow up on, I think, Phil Shen's a little bit about the liquidity. There is obviously the note in the release about not being in compliance with the purchase order covenant for the credit agreement. Can you just talk through the status of that and then what you need to do to be in compliance for it? Thanks.
Yann Brandt: Yeah. No. Appreciate the question. You know, I will give you the high level, and I think we put in the note accordingly. This is, you know, our opinion is, and our lenders believe, it is a technical issue and a technical default. The language in the agreement was a little bit unintentionally restrictive and led to a surprising kind of accounting outcome, even from the lender's perspective. So while it sort of came in in the audit process, we have not yet resolved the issue, but we anticipate that we will. It was related to the bona fide purchase orders, bookings that we signed, and believe, you know, like I said, a technicality that led to a handful being excluded for the covenant.
John Wyndham: Completely shifting gears, a lot of your competitors, Nextracker, Array, GameChange, have been making diversifying acquisitions in a tangential product category, whether it be wires, foundations, Nextracker is all the way out to inverters at this point. Just love your thoughts about how—your strategy around that, and whether you think you need to provide a more diversified product lineup to be competitive or you like single product? Just your general thought. Thanks so much.
Yann Brandt: Yeah. I mean, look. I appreciate that they are doing that. And in some ways, understand the premise of it. Obviously, you know, our relationships as tracker vendors with procurement teams is, you know, such that they, obviously, the procurement teams are buying other things. While there is overlap with who you are talking to, the value proposition really, you know, depends on each unique product. Right? So, you know, obviously, when, you know, we are growing at a pace that exceeds what our peers are doing, so they are looking for, in my opinion, for growth in other things. So I certainly understand where they are coming from. You know, our focus is, like I said in the recording, is getting, you know, becoming a top three tracker provider, and we are well on our way for that. That is the importance of it. Hence, we have been adding to our sales team and growing, growing those, you know, our ability to do just that. It is a, like I said, dynamic tracker landscape for sure, you know? And both in what you are describing of our peers going elsewhere. But if you compare our growth here in 2025, and even heading into 2026, we believe our growth will be significant and well ahead of the market. And so we are going to, at the moment, focus on exactly what we are doing, which is, you know, getting on AVLs, converting the MSAs into projects. And that is exactly what we are going to do.
John Wyndham: Can I ask a quick follow-up on that? Sorry to throw in three, but you, I mean, you make a great point. You are talking about being a top three tracker provider. Let us see. Let us use Array as a benchmark, $1,200,000,000.0 of revenue. That is 12x growth for FTC Solar, Inc. from here. So how do you think about timelines of achieving that? And then how do you feel about your ability to expand capacity to deal with that level of growth?
Yann Brandt: Yeah. I mean, look. It is, like I think I said this before. It is not going to happen overnight. And it is likely not going to be linear. But if I compare the projects we are looking at on my first day at the company versus what we are looking at now, you know, I see 300, 400 megawatt projects on a weekly basis that we get to bid, and we are on the approved vendor list on both the IPP side and the EPC side. Right? Like, those are some of the prerequisites that come along with it. The headways that we have made on the product portfolio in order to get there, you know, the longer tracker, the washerless trackers, the terrain-following features, those are all things, you know, sometimes uniquely for a particular set of customers, because they are focused in a particular region or they have a certain way of installation. I do not think that we are going to have a capacity constraint if we are able to convert, you know, the MSAs or project opportunities into bookings. That is not going to be a limit to, you know, what we are able to do. We have a strong supply chain, both with our acquisition of Alpha Steel in Q4. That is going to put us in our own control of it, as well as our contract manufacturing, you know, both here and across the world. You know, it really comes down to what the customers are saying. Right? What are the EPCs telling us? What are they telling you around what the tracker mix is going to look like? Things can change pretty quickly. Right? And a couple years ago, it changed in a bad direction for FTC Solar, Inc. Now it is pivoted and moving into the right direction for FTC Solar, Inc. You know? And I would point to the back half growth in 2025 versus our peers as a leading indicator of that. But fundamentally, you know, I am relaying the optimism that I get when I sit down with customers, you know, both here in the U.S. and abroad, that they want diversification. There is a lot of concentration within some of the customers that they are trying to get themselves out of. And that is not a negative thing about our peers. Some are doing a really good job. But it is the need for what is the architecture that works for the sites that are evolving and who is going to do what they say they are going to do. And they are going to look at relationships in order to leverage their decision-making. And so it is an important moment for FTC Solar, Inc. to deliver what we are saying what we are going to do, and I think you see that in '25 that we were able to get customers to trust us and to buy from us. I think every MSA is another indicator of that. And so I do not look at it as a 5x, 10x, 12x, or more equation. I view it as, you know, I sit across the table, my team sits across the table of a customer, and we win one project at a time and one portfolio at a time. And that starts with MSAs, AVLs, etcetera.
John Wyndham: Thank you so much. I appreciate your attention to my questions and your patience with me.
Operator: Go ahead. There. Thanks. Thank you. One moment for our next question. Our next question comes from the line of Jeffrey David Osborne of TD Cowen. Your line is now open.
Jeffrey David Osborne: Thank you. Maybe just a few follow-up questions. The debt that John mentioned, $19,900,000.0, what, Cathy, specifically needs to happen to be in compliance with that? I missed the answer to that. Then in the event you needed to tap the ATM, I think you still have outstanding. Is that available to you, or can you just remind us of your liquidity options beyond what is on the balance sheet today?
Cathy Behnen: So as John was saying, it is really just a technical definition that is in the agreement. So we are really working with the lenders to develop the right solution for that. So it is just ongoing discussions, you know, we have good confidence that it is all moving in the right direction. So we will be able to get to the resolution quickly. Yes. We still have, we still have the ATM available to us. We did use the ATM in Q4. It continues to be available to us moving forward. And so that, and we also have expanded liquidity also within the debt with our lender.
Jeffrey David Osborne: Got it. Maybe just switching gears then for Yann. Post the FIAK announcement and maybe just give us a sense of the past month or so, what has the shifting patterns been as it relates to delivery schedules? Would be helpful to understand. And then maybe just at a high level, the sequential decline with Q1, how much of that is normal seasonality versus the adverse weather conditions that we have had across the U.S. over the past few weeks.
Yann Brandt: Yeah. Look. I mean, I think you guys are more of an expert in the FIAK announcement, but some things were answered, some things were not. So overall, I think the market is continuing the way it was, and some tax equity providers are a little bit more cautious than others, but we have not seen that affect us in any particular way on a project or otherwise. And, you know, the cyclicality around Q1, I mean, I think it is pretty normal when you look at historically for us as well as our peers. You know, it is a, you know, our midpoint is modestly up year over year. Obviously, from a growth standpoint versus our peers that are down significant year over year in Q1. And I would like, if I were to put a root cause, I think, particularly for us, is it was rather difficult to contract in the middle of March and tariff Q2, Q3 last year? And I think that is what you are starting to see. You know, that is sort of a lagging indicator of what was really going on in Q2, Q3 of last year that muted where I was hoping we would be here in Q1. But, you know, it is not like the projects have gone away. It is just, you know, getting the contracting and really for them, for our customers, get the capital into those projects were delayed as the legislation and tariffs were figured out.
Jeffrey David Osborne: Perfect. That is all I had. Thank you.
Operator: Thank you. I am showing no further questions at this time. Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.